Operator: Good evening, ladies and gentlemen. Thank you for standing by. Welcome to the StoneCo First Quarter 2024 Earnings Conference Call. By now, everyone should have access to our earnings release. The Company also posted a presentation to go along with its call. All material can be found online at investors.stone.co. Throughout this conference call, the company will be presenting non-IFRS financial information including adjusted net income and adjusted net cash. These are important financial measures for the company but are not financial measures as defined by IFRS. Reconciliations of the company's non-IFRS financial information to the IFRS financial information appears in today's press release. Finally, before we begin our formal remarks, I would like to remind everyone that today's discussion might include forward-looking statements. These forward-looking statements are not guarantees of future performances and therefore you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from the company's expectations. In addition, many of the risks regarding the business are disclosed in the company's Form 20-F filed with the Securities and Exchange Commission, which is available at www.sec.gov. I would now like to turn the conference over to your host, Roberta Noronha, Head of Investor Relations at StoneCo. Please proceed.
Roberta Noronha: Thank you, operator, and good evening everyone. Joining me today on the call is our CEO, Pedro Zinner; our Chief Financial and Investor Relations Officer, Mateus Scherer; our Chief Strategy and Marketing Officer, Lia Matos; and our Head of Credit, Gregor Ilg. Today, we will present our first quarter 2024 results and provide an updated outlook for our business. I will now pass it over to Pedro, so he can share some highlights of our performance. Pedro?
Pedro Zinner: Thank you, Roberta, and good evening everyone. I would like to begin by briefly talking about our first quarter 2024 results, which I believe are the kickoff to a great year ahead of us. Our business continued to grow strongly while we kept on delivering our strategic priorities. In financial services, we performed well across all of our client offerings. Starting with payments, we posted strong TPV growth, including PIXs, and nearly matched the same volumes from the holiday shopping season in the fourth quarter. This quarter, we launched instant payments in TON, fulfilling a key request from our micro-merging clients. In banking, we continue to show progress in onboarding new and existing clients to our bundle banking and payment solution. And today, approximately 80% of our active client base has our bundle offering. A couple of highlights I would like to make. The start of our pilot with credit cards in TON and the evolution of the banking solution for SMBs in in Stone with features such as PIXs [indiscernible] for our clients to simplify their workflows around paying their employees. And finally, our credit solution continues to grow according to plan. We maintain our conservative approach, but are testing different client profiles to grow while making sure we balance our credit model. We have set up a specialized desk to offer credit to larger clients with TPV above $500,000 per month, and this is just getting underway. Now let me shift to our software business, which performed well this quarter, showing progress versus our previous quarter results, and in line with our strategic priorities. Our vertical software grew well in the first quarter, with an annual revenue increase of 12%, which was purely organic. Our enterprise software remained a detractor, moderating our total software revenue growth, considering that we're not emphasizing this part of the business. However, the strong performance in our vertical software, combined with our efficiency efforts, continue to drive up total profitability in this segment. As we discussed in our Investor Day, we will continue cross-selling financial solutions into areas of our software client base and evolve on creating software and financial services by most. In 2024, we are focusing on the retail and gas station vertical, the latter being a highlight in the quarter. In summary, I was pleased with the direction of our first quarter 2024 results, and I think we remain on track to deliver our guidance for the year. Now, I'd like to pass it over to Lia to discuss our first quarter 2024 performance and strategic updates. Lia?
Lia Matos: Thank you, Pedro, and good evening, everyone. As Pedro mentioned, we made progress in the first quarter across our strategic priorities, advancing on critical areas as we progress towards our 2024 and long-term goals. Before we start discussing our main financial highlights, I would like to remind you that from the first quarter 2024 onwards, we have changed our internal accounting methodology for membership fees revenues. From now on, membership fees revenues will be deferred throughout the expected life of the merchant, instead of being recognized entirely at the time of the acquisition of the merchant. The materials we're presenting incorporate this new internal accounting methodology as of the first quarter of 2024. For this quarter, we will also present growth metrics using the previous methodology, since this is the first and most impacted quarter. As you can see on Slide 4, our consolidated revenues grew 14% year-over-year, which combined with lower other and administrative expenses, led to an increase of 75% in adjusted EBITDA, despite an increase in selling expenses due to the seasonality of investments in marketing and provisions for loan losses. These factors resulted in adjusted net income increasing by almost 90% year-over-year, reaching an adjusted net margin of 14.6%, up around 650 basis points. Now let's take a look at our financial services segment performance on Slide 5 to 9, starting on Slide 5, with the performance of our payments business for MSMBs. Our payments active client base increased 33% year-over-year, reaching almost 3.7 million active clients. Sequentially, this represented a net addition of 205,000 clients. The lower addition of clients compared to the previous year is primarily a result of the fact that we have caught up to the growth levels in the micro segment. As you will see in the pages that follow, besides optimizing our commercial strategy for growth and market share gains, we're also putting a lot of focus on improving our payments and banking bundle offerings to new client cohorts, both in TON and Stone, as well as driving more engagement with our solutions for older cohorts of clients. As you can see on Slide 6, this approach has resulted in profitable TPV growth and market share gains in the MSMB segment. MSMB TPV including PIX P2M increased 24% year-over-year. Excluding PIX P2M volumes, which were more than R$8 billion in the quarter, MSMB TPV increased more than 18% year-over-year. We achieved a strong growth while also increasing take rates by 15 basis points year-over-year to reach 2.54% with material contributions from all of our financial services solutions. We are continuously evolving our pricing and bundle strategy to achieve higher levels of client engagement and we believe these strong numbers are the result of our competitive advantages in distribution, superior service, and our increasing ability to offer more complete solutions to our clients. Moving to Slide 7, let's discuss our banking performance. Our banking active client base nearly doubled year-over-year to around 2.4 million active clients. This growth was a result of the launch of Super Conta Ton in the beginning of 2023 and the continued activation of Banking for Stone clients through our bundle offers. The decrease in growth rates compared to previous quarters is mainly due to the completion of our migration of Stone clients to our full banking solution. Going forward, we expect our banking active client base to grow more in line with the sequential increase in payments gross ads as we continue to effectively bundle payments and banking. This growth in our client base also helped drive a 53% year-over-year growth in client deposits, which reached R$6 billion in the quarter. Despite the seasonal grow over effects from the fourth quarter and the lower average CDI in the period, ARPAC increased to R$29.3 per month, driven by higher average deposits per clients as a result of increased engagement with our banking solutions. As Pedro mentioned, this quarter we made good progress in our product roadmap, starting to pilot credit cards for Stone clients, as well as launching features that help our SMB clients to simplify their cash management workflows, such as paying suppliers and employees. Moving to Slide 8, I will talk about our credit performance. This quarter we disbursed around R$295 million, reaching a portfolio of almost R$532 million, an increase of roughly 72% quarter-over-quarter. Provision expenses for working capital expected losses totaled R$44 million in the period, resulting in accumulated provision expenses of R$106 million, as we are still constituting provisions in the amount of 20% of our portfolio. Although we are doing this conservatively, the performance of our vintages is above our expectations, with NPLs between 50 and 90 days of 2.2% and NPLs over 90 days of 1.5%. As we've highlighted before, this is still a recently launched portfolio, so the ratio of past due loans should increase as our cohorts mature. This year, we will continue with disbursements without changing our approach towards risk evaluation and close monitoring of market conditions. To summarize the performance of our financial services segments, the first quarter was again marked by strong TPV growth and higher take rates, resulting in financial services revenue growth of 16% year-over-year in the first quarter, reaching R$2.7 billion. As a result, our adjusted EBITDA reached R$529 million, with an adjusted EBITDA margin of 19.5%, which increased more than 600 basis points year-over-year. Moving to Slide 10, let's talk about our software performance and strategic evolutions. Quarter-over-quarter, the payments TPV of clients that use both financial services and software solutions decreased 13%, primarily due to the seasonal effect in our retail vertical, which is strongly impacted by the higher volumes in the holiday shopping season of the fourth quarter. However, our gas station vertical which has been a priority focus since last year, has a positive performance quarter-over-quarter. These SMB clients have been increasingly receptive to our efforts to provide an end-to-end solution that combines management software, payments, and banking. On Page 11, you can see the highlights of the performance of our vertical software business. As you can see, vertical software revenue grew 12% year-over-year. The priority verticals, where we're focusing our initial strategic efforts to integrate financial services, now account for 47% of total software revenues. Our software solutions in other verticals also had a strong quarter across different products. As a result, our vertical software now accounts for 76% of our total software revenue. In Slide 12, you can see that total software segment revenue reached R$369 million, but grew slower than our vertical software. This is because overall software revenues include our more mature enterprise business. However, as a result of our focus on vertical software and our efficiency initiatives, our adjusted EBITDA in the software segment increased to R$66 million in the quarter, up 65% year-over-year, improving our adjusted EBITDA margin by over 650 basis points to reach 17.8% in the quarter. As Pedro mentioned, the first quarter marked the beginning of an important year of strategic advancement for our business trajectory. Now, I want to pass it over to Mateus to discuss in more detail some of our key financial metrics. Mateus?
Mateus Scherer: Thank you, Lia, and good evening, everyone. I'd like to begin on Slide 13, where we discuss the quarter-on-quarter evolution of our costs and expenses as percentage of revenues on an adjusted basis. Cost of services reached 810 million, increasing 12% year-on-year, and staying flattish quarter-on-quarter. Sequentially, cost of services increased 160 bps as percentage of revenues, as a result of higher transaction, logistics, and E&A costs as we grow our client base, and higher provision for loan losses, which amounted to R$44 million in the first quarter of 2024 versus R$39 million in the fourth quarter of 2023. Administrative expenses decreased 12% year-on-year, leading to a 220 basis points reduction as percentage of revenues when compared to the first quarter of 2023. Sequentially, administrative expenses decreased 16%, down 100 basis points as percentage of revenues due to seasonally higher personal expenses in the fourth quarter and lower third-party services expenses in the first quarter. We remain committed to our guidance of spending less than R$1.125 million in administrative expenses for 2024, which implies a growth of less than 7% for the year. Selling expenses increased 36% year-on-year and 17% quarter-on-quarter up to 120 basis points sequentially as percentage of revenues. This increase is mainly attributed to higher market investments as a result of a planned sponsorship for a reality television show combined with higher investments in our sales team. Financial expenses decreased 2.2% year-on-year leading to 470 basis points reduction as percentage of revenues. Quarter-on-quarter financial expenses decreased 5.5% and remained flattish as percentage of revenues. Lastly, other expenses decreased 58% sequentially and 230 basis points as percentage of revenues, as a result of lower share-based compensation expenses which includes a non-recurring positive impact of R$40 million from the net effect of cancellation and new grants of incentive plans and lower contingencies. Turning to Slide 14, our adjusted net cash position was R$5.1 billion, reflecting an increase of R$ 1.2 billion year-on-year and R$87 million for the quarter. Lower when compared to previous quarters as we continue to deploy capital towards the expansion of our credit portfolio and also as a result of seasonally higher cash consumption in labor and social liabilities in the quarter. As we kickstart the year, I believe our first quarter results demonstrates we are executing on our plan and we remain well on track to deliver our 2024 guidance. With that said, Operator, can you please open the call up to questions?
Operator: [Operator Instructions] Our first question comes from Eduardo Rosman with BTG.
Eduardo Rosman: Hi, hi everyone. Good evening. I do have two questions here. The first one is on capital allocation, right. We know that you already did a lot, but you still have a lot of exposure to software, right? With many verticals, they are not a priority. You own TAG, for instance, which is seeing a big decline in revenues. You also have a big stake in Reclame Aqui and potentially other stakes in other companies as well, right? So just wanted to hear from you if there is room to keep improving the capital allocation, and the cash position in the following quarters. That's the first question. And the second one, just trying to understand here your expectations for deposits, right? You have a guidance which is above R$7 billion for the year, but you ended the first quarter with R$6 billion, right? Which is very good given that usually it's a weak quarter from a seasonality point of view, right? So just wanted to understand your thoughts here, if the expectations are now looking conservative for the year.
Mateus Scherer: Thanks. Hi, Rosman, thank you for the question. Mateus here. I'll take the first part regarding capital allocation and then pass it over to Lia on the banking side. So on capital allocation, I think it's fair to divide the question into two parts. First, I think we mentioned this yesterday, but we do have a buyback plan in place at this moment, right? It's a R$1 billion program for, which we did not buy any shares yet. I think the message here is that, we remain committed to our long-term targets and therefore we continue to believe that this is a good alternative for capital allocation. So it's basically a matter of planning the execution for the new product, so that we have a solid framework in place and decision process. So that's the first piece. I think the second piece is also regarding the M&A, right? You mentioned Reclame Aqui, TAG and other companies that we have. Here, I think the message is that currently we're still focused on improving the efficiency of those businesses. And I think you can see from the EBITDA margins on software that this is making progress quarter-by-quarter. But in regards to selling those assets, I mean, we always analyze different options in order to maximize shareholder value. But the business as a whole is performing well and generating cash. So, we have no urgency to sell any assets. So to be direct here, I think there is indeed an optionality to exit some assets for, which we don't see as strategic. But that's not the focus at this moment. The focus is on efficiency.
Pedro Zinner: Yes, if I might just add, I think it's in line with the last comment from Mateus. I think what we're trying to do, is really improve cost efficiency initiatives to maximize value along these verticals that were not prioritized in the business plan. And when the time comes, we'll provide more visibility in terms of how we're going to position ourselves.
Lia Matos: Great. Hi, Rosman. Lia here just to talk a little bit about trends in deposits. So indeed, we saw strong performance in deposits in the first quarter, and results were to some extent above our expectations. So the growth is driven by two main factors, right? As Pedro mentioned, we continue to successfully bundle payments and banking to new sales, which leads to higher penetrations of clients that choose Stone as their main banking solution and their banking domicile. And we're also seeing higher levels of engagement, with our clients leaving money within our ecosystem for a longer period as we go. So, we're very happy with this evolution. It is, like you mentioned, beyond our expectation and does point to us surpassing the guidance that we gave for the year. That said, we need to monitor this trend a little bit further throughout the year. And of course, if this remains consistent, we're naturally going to keep you updated. But we think it's a bit early to talk about reviewing guidance.
Eduardo Rosman: Great. Thanks a lot.
Lia Matos: Thanks, Rosman.
Operator: Next question. Sorry. Next question from Kaio Prato with UBS.
Kaio Da Prato: Hi, everyone. Good evening. Thanks for the opportunity. I have two questions on my side, please. The first one is related to your other expenses line. You had like a non-recurring adjustment of R$70 million this quarter. I just would like to better understand what exactly it is about, because it seems that the net effect from the divestment is lower than that. And still on other expenses line, if you could please explain why we had like a reversal in share-based competition this quarter. And my second question, please, if I may, is related to your MDRs. Even considering the adjustment to the membership fee model, we can see that consolidated MDRs actually reduced this quarter. In a quarter where we usually see the opposite, because of seasonal effects. So I just would like to understand the moving parts here. If this could be reflecting any type of pricing pressure or discounting in order to incentivize deposits. And what can we expect going forward? Thank you.
Mateus Scherer: Thank you. So let me pick up the first question and then we move on to revenues. So in regard to other expenses, you're right. We have basically two effects. The first one is on the IFRS P&L, right, which we don't adjust. And here we have a negative impact from the divestment of PinPag, which amounts to around R$55 million. Other than that, we basically have the revaluation of call and put options on the other companies that we have this right, for example, Reclame Aqui. So it's nothing new that is adjusted here. It's basically the same effect of options on the M&A side. And then talking about the share base piece, which impacts our adjusted net income. Here, you're also right. We have a one-off effect which contributed to around R$40 million, positive to the number. And basically on the line, we had two big effects on the quarter. The first one is a recurring one, where we had some movement operatives related to our annual equity bonus, which includes more than 1.3000 employees. And the second effect, which was the one-off, is basically related to the Board changes that we announced in the first quarter. So when you look at these two effects together, what we had was basically a grant of 2.49 million shares, but a cancellation of 3.94 million shares. So in the quarter, we had a net reduction in share-based instruments outstanding, which also contributed to the P&L by around R$40 million. And again, you have a piece that is one-off and another piece that is recurring, which is the fact that we have less share-based instruments outstanding right now. Now, the second question, I think it was related to MDRs and price in general, right? Here, I think there are also two pieces to the question. The first piece, when you look at the take-rate evolution as a whole, you saw basically a 15-basis point increase year-on-year. And also a sizable increase quarter-on-quarter. Both of these changes, they were basically related to the contribution of the new solutions. So if you break down the 15-basis points increase in take-rates that we had year-on-year, it's basically a function of banking and credit contributing more to our revenues. On the MDR side, I think the variation month-over-month is basically attributed to the seasonality on TPV. You're right that we had the effect from membership fees there, which impacted R$68 million. But when we exclude that from the calculation, it's basically a matter of seasonality.
Kaio Da Prato: Okay. Thank you. Just a follow-up in terms of the seasonality that I mentioned. Shouldn't it be more positive in terms of your MDRs Q-on-Q, because of the card mix and so on? So I just would like to understand this part?
Mateus Scherer: Yes, the seasonality on the MDR piece alone is positive. Again, we had a lower take-rate in the first quarter as a result of more debit mix, and now it's positive. But then you also have the seasonality in terms of client mix, right? And that I think answers the question.
Kaio Da Prato: Okay. Thank you, Mateus.
Operator: Our next question comes from Antonio Ruette with Bank of America.
Antonio Ruette: Hi guys, thank you for your time and congratulations on the results. So, I would like to focus on credit. So first, if you could explore what you found different since you restarted the product. So in terms of the credit and asset quality, the credit growth, what has been a surprise so far? Also, if you could explore a little bit of possible guidance revision, since as you added more than R$200 million in portfolio quarter-over-quarter, I guess you could reach guidance by the end of the second quarter or close to that. Also, if you could explore a little bit of competition. So we see peers getting increasingly intense in the competition segment. We see banks going down the pyramid - corporate pyramid. We also see other acquirers more focused on credit. So how do you see competition on the SME segment that you are focusing on? And finally, to conclude here, provisions. If you expect to continue to provision 20% of your loan book? Thank you.
Pedro Zinner: Hi, thank you for the question. Pedro speaking. I'll kick off with the guidance. I think as you said, the results for the first Q were indeed better than what we initially expected, especially on banking and credit. If we see these trends to be consistent throughout the year, we will mostly likely land above our guidance. But that said, our guidances were already set as a lower bound. And I think it's still premature to talk about changing that in the first quarter of the year. So I'll pass it over to Gregor, who will talk about the credit, and then we'll move to you, Lia, Mateus.
Gregor Ilg: Yes, hi, Antonio. With regards to your first question, what we did differently, we explored this extensively in our Investor's Day last year. And what I can tell you now is what happened over the last 12 years. Well, we completed one year since the soft launch of our working capital facility. And looking backwards, I really believe we accomplished quite a lot. On the positive side, I will point out that we were able to structure the entire credit cycle and not only the concession phase. We have all the controls in place, to monitor the growth from a very close perspective, and prepare to react in a timely manner. This monitoring process has allowed us, to test and improve a variety of models and policies, always challenging ourselves to improve efficiency and to unlock new cohorts. This is also the reason why we're still growing on a nonlinear mode, almost on a step-like curve, reflecting the release of offers to new customers. Besides policies and models, we also managed to test quite a lot our pricing strategy, which is adjusted to size, risk, amongst others. We also succeeded in test bundling banking and acquiring features. The team is practically formed and complete, one of the major challenges we faced by the beginning of the process. And we managed to keep the performance of the portfolio within our risk appetite parameters and pretty much without any major bumps on the road. On the improvement opportunities, I would say that we still have a huge opportunity to extract more value from our hubs. So far, the growth of our credit portfolio has been more focused on our app, and we understand that there is a huge potential to be unlocked by using this channel more efficiently. There are also many opportunities to improve communication overall. We are still in the beginning of our journey to interact with our clients in a deeper way, and this is reflected in less than expected conversion rates. We strongly believe that we can and will evolve on this matter, and we will accelerate. Although we already tested bundling, we understand that we could have begun earlier, and also believe that we barely scratched the surface here. Besides strengthening the relationship, we believe that the more we interact with our clients, combining different products and platforms, the better the performance of the portfolio will be. And last but not least, we did not advance over our Linx customers yet. The potential here is huge. We are implementing new processes to capture these opportunities that should lead to a significant increase in share over time.
Lia Matos: Great. Antonio, let me complement here with some thoughts on competition, which I believe was one of your questions. So I think regarding competition, nothing really new regarding the competitive environment. We continue to see benefits in our P&L from the reduction in interest rates. With financial expenses as a percentage of revenues decreasing 4.7 percentage points year-over-year. And in our view, this is consistent with the fact that over the short to medium-term, the competitive environment is much more rational and stable, and players will benefit from decreasing interest rates. So we see, if anything, a much more rational competitive environment. That's the first message. But another important message is that longer term, we're going to remain focused on executing the strategy that we talked about in the Investor Day. We're going to continue to strengthen our execution and evolve our product roadmap. And as Mateus mentioned, over the last year, we've seen tangible impact in take rates already - coming from monetization leverage beyond payments. But the other way to look at this, is that we're only at the beginning of this trajectory. There's still a lot of work for us to do in the evolution of our banking, in scaling our credit portfolio, building bundles with software to better monetize financial services relationship with our clients. So essentially, to finalize the thought here is, we really believe we're on the right track. And each step is only going to strengthen our differentiation in serving MSMBs. So I think, this is a start on competition.
Mateus Scherer: I think the last piece was around the overlay, right? Whether we're going to keep provisioning 20% or converge to the risk models. And to that end, I think the message is that in 2024, we will converge to a risk-based approach. It's probably going to start either in the second Q or third Q. But towards the end of the year, we should have the provisions converging to our models.
Lia Matos: Many questions, Antonio. I think we've covered them, right?
Antonio Ruette: Yes, yes. Thank you. Thank you very much.
Lia Matos: Thank you, Antonio.
Operator: Next question from Neha Agarwala with HSBC.
Neha Agarwala: Hello. Can you hear me?
Lia Matos: Yesh, Neha. We can hear you. Hello?
Neha Agarwala: Perfect. Thank you so much for taking my question. Just a quick one. Regarding the registry of receivables, has there been more operational improvement? How have you been able to use the data from the registry of receivables? And how is it helping in terms of underwriting? Any update there would be very helpful. Thank you so much.
Mateus Scherer: Neha, Mateus here. So there are two sides to the question. First, regarding the registry business on a standalone basis. To that end, I think TAG has been profitable for a while, but no big changes in terms of the operation. And then there is a piece on the credit side, right? And to that end, I think the message, is that it's mostly working on this. We are being able to access the collateral for all the main providers when we are underwriting. And that's a very important collateral to our business.
Neha Agarwala: Okay. So you have been able to access the wallet from other players, and the collateral is working well as of now?
Mateus Scherer: Yes. Yes, it is.
Neha Agarwala: Has there been any instance where you've made use of that collateral so far?
Mateus Scherer: Yes. So in our renegotiation process in general, I think the first step is basically accessing the receivables that we have against the clients, the collateral. And then only afterwards that we move towards the phase where we actually renegotiate the credits. So it has been the first, I would say, gatekeep in terms of collecting the credits and it's fully operational now.
Neha Agarwala: Perfect. Super helpful. Thank you.
Operator: Next question from Yuri Fernandes with JPMorgan.
Yuri Fernandes: Hi guys, good evening and thank you for letting me ask some questions. I have a follow-up on Kaio's question on the adjustment on your net income. Just confirming that both the net effect of PinPag, the R$53 million is there and also the lower compensation, the lower share base compensation, the R$40 million. When I checked the table before, it's not clear for me where those two items are there. So just making sure that the negative was removed, but also the positive is out of your recurring adjustment. That's the first one. And on my second question would be on your administrative expenses. They were pretty good. I know there is some seasonality here, but even over a year, it's done a lot. I think you mentioned 30 party services are helping you. So if you can provide more color, which are those services, like how this line should behave going forward? Thank you.
Mateus Scherer: Hi Yuri, thank you for the question. So on the first piece, let's talk about the adjustments. So, we only adjust basically mark-to-market related to M&E transactions. We don't adjust share base compensation whatsoever. So it's fully expensed and therefore the positive one-off is not adjusted, right. The only thing that is adjusted to that end is the loss on the divestment of PinPag in this quarter. And keep in mind that in the first quarter we had the opposite effect. We had a gain on the amount of [VITA], which was not adjusted as well. So that's the first piece. The second piece I think is related to administrative expenses. And here I think you're right. There was a sizable reduction quarter-on-quarter, but also year-on-year. When we look at the quarter-on-quarter evolution, it's mostly due to seasonality. I think we've been vocal on the call from the first quarter. The administrative expenses was seasonally higher back then, and it's the opposite way right now. But when you look at an annual comparison, then most of the benefits are related to the initiatives that we have in place in the company. Namely the zero-basis budgeting initiative and also the implementation of the shared services center. And here on a macro level, basically what we're doing is unifying processes in our corporate functions. And over time this leads to lower expenses related to third-party services and administrative expenses in general. So that's the main trend on the line.
Yuri Fernandes: Super clear, Mateus. Both replies. Thank you very much.
Mateus Scherer: Thank you, Yuri.
Operator: Next question from Jorge Kuri with Morgan Stanley.
Jorge Kuri: Hi, everyone. Thanks for the opportunity to ask questions. I wanted to ask about selling expenses. You mentioned the 36% year-on-year jump, 17% quarter-on-quarter was partly due to a marketing expense related to a sponsorship of a TV show and investments in your sales team. Would it be possible for you to quantify how much of that 529 was the TV show? And I'm asking this, because as you look at marketing expenses going up 36% for a revenue growth of 14% or a TPV growth of 13% for the quarter, it's actually concerning if it's not most of it, the TV show, right? Where you're actually having to spend much more in sales and marketing for the underlying business in order to grow revenues at a lower pace. And even if I just look at over the last 12 months, forget about this quarter, if I just look at the last 12 months, your marketing expenses, 12 months-over-12 months are up 21% for a TPV growth, which is much less than that. And so, I'm just wondering, to what extent some of it also is a more competitive industry. And I did hear the response that Lia posed to question, a couple of questions before that the competition remains rational, but this level of incremental marketing expenses to grow the business at a much lower pace, especially considering that you have, I don't know, 25%, 30% market share in your core business of SMBs, maybe 20%. How should we think about that? And how do you think that's going to evolve going forward in order for you to keep this pace of revenue growth? Are we going to continue to see these just outgrowth in marketing expenses? How do you think about all of those things? Thank you.
Mateus Scherer: Thanks for the question, Jorge. So let me start with the explanation of marketing expense, and then we'll talk about the link with revenues, right? So on selling expense first, I think we have to segregate the sequential evolution from the yearly evolution. When you look on a year-over-year perspective, in the first quarter of '23, we had some one-offs related to reallocation of variable compensation, between selling and admin. So this makes the year-on-year evolution less relevant here. Now, I think the best way to look at the number is indeed looking at the sequential evolution, which was 17%. And on that front, basically everything is related to our investments in the Big Brother Brazil. So the sequential increase in selling is mostly a function of that, which basically impacts first quarter and to a lesser extent, second quarter as well. Now, when you look ahead, we still see some opportunities to invest in distribution channels. And I think, we've been vocal to say that as long as we see healthy return hurdles, we'll continue to do so. But with that said, as percentage of revenues, I think we should start to see operational leverage kicking in in this line throughout the year. So that's the first piece referring to the selling evolution in general. I think the second piece that I mentioned is whether we are seeing some kind of effect from competition and the link between those investments and the top line growth, right? And to that end, first of all, I think the best way to look at the number is not looking at the consolidated TPV. The investments we do in selling have very little to do with the growth in key accounts, which I think we've mentioned we are being opportunistic. So on quarters it can grow more, on other quarters it can grow less. But when you look at the evolution of MSMB TPV, I think the message is not that we are decelerating, actually. So if you look at the evolution of TPVs including peaks, which we monetize the same manner as debits, basically we grew 24% this quarter, about 25% in the fourth quarter, and 30% was in the low 20s. So the message here is either stable or accelerating, but not decelerating. So again, that's pretty much how we see the line. The evolution is mostly explained by the reality TV show investments that we did. And in terms of link to growth, I think the proper way to look at the number is looking at MSMB volumes and not TPV in general. I don't know if I answered all your questions, Jorge.
Jorge Kuri: Yes, that was clear. Thank you very much, Mateus. I appreciate it. I mean, if I just adjust for this quarterly jump, yes, there seems to be some operating leverage on a last 12 month basis of your selling expenses, but not a lot. And so I guess, I'm still just wondering, how should we think about the amount of expenses that you needed to put into the business, given the big market share that you have, and how does that relate to competition? So anything, any view that you have around that would be helpful?
Mateus Scherer: Yes, for sure. So like I said, I think the sequential increase that we had was mostly due to the reality TV show investments. And going forward on a nominal basis, it shouldn't grow that much. So most of the leverage will come from continuing to grow top line, having this baseline in terms of selling. And then a last piece, I think when talking about operational leverage in the line. Especially looking at the first quarter, it's also important to remind that we had a negative one-off in the revenue side, right, which was the R$68 million from the change in the recognition of membership fees. When you factor that in, and then you look excluding the investments of Big Brother Brazil, I think it's more, clear to see the operational leverage that is kicking in there.
Jorge Kuri: Thank you.
Mateus Scherer: You're welcome.
Operator: Next question from Daniel Vaz with Safra.
Daniel Vaz: Hi, everyone. I have a question regarding credit. So we know you're offering your working capital solution for a limited portion of your client base, right? So mainly in the upper part of the SMB. So I wanted to ask you if you have already been testing pilots in smaller clients, and how has been this the outcome of this testing so far? So are you willing to expand the eligible base at some point in this year? Have you been doing that? So it will be good to hear from you? Thank you.
Gregor Ilg: Yes, hi, Daniel. Yes, we have expanded our offer to lower customers, both on the working capital facility. And also we're initiating now a test with credit cards on our top business. So, we are evolving on covering the entire client basis with a credit offer. And so far, I mean, the tests have been successful. And we think that there's opportunity to expand here and reaching out for more customers.
Pedro Zinner: I think the one caveat here, Daniel, like Gregor mentioned, it's still on test phase here. So I wouldn't say we are right to roll out yet. I think the message is that the early indicators are good. But again, we're taking the cautious approach in credit in general, and then especially on micro merchants, which we know are more volatile and risky, right, by nature. It's good to be even more cautious. So I wouldn't expect a big evolution already contributing to results this year. It's most about testing and learning this year.
Daniel Vaz: Okay. Thank you. And if I may, just a quick one in the change of the accounting method. So how are you recognizing revenues now? It's a 12-month base. It's a '24. Could you just give a little refresh for us?
Mateus Scherer: Yes, so up until the last quarter, membership fees were basically recognized as soon as a client was on boarded. So it was up front. Now it's basically deferred throughout the lifetime of the client. We don't disclose the specifics in terms of how many months we're using. But I mean, it's very close to market standards. So if you look at the peers, I think you should have a good benchmark for that.
Daniel Vaz: All right, thanks for that. Congrats on the results.
Mateus Scherer: Thank you.
Operator: Next question from Tiago Binsfeld with Goldman Sachs.
Tiago Binsfeld: Hi, good evening, everyone. Thank you for taking my question. I have just one on financial expenses. If you could discuss what are your main expectations for [Terminal Elite]? And also, if you could discuss if you have any initiatives to lower financial expenses by year end? And finally, if you have any plans to remunerate deposits, remind us what has been your strategy here? Thank you so much.
Mateus Scherer: Thanks for the question, Tiago. So first, let's start with our perspective for Terminal Elite. I think to be really honest here, we don't have a perspective here. I think our approach is basically to look at the market data that we have, and then we adjust our pricing accordingly. I think we mentioned this a few times, but our pricing has become a lot more dynamic nowadays. So basically, we have the price that we use to onboard a client. But over time, we adjusted upwards or downwards according to the volumes that we're seeing, the solutions that the clients are using. So it has become a dynamic process. And to that end, I think it allows us to adjust whatever we see in our funds in a very quick manner. So that's piece number one. Second piece regarding initiatives to lower financial expenses. I think our team has done a great job over the past for 15 years, not only of being more efficient in terms of the spreads that we have, but also being a lot more conservative. So if you look at the credit profile of the company, we're having longer and longer funding, which is good. Now, when you look at structural initiatives that we have in place, I think the main one to mention is, the financier license, which we got end of last year. And that basically allows us to access retail funding and also to access the deposit base that we have to fund prepayments and credits. But on both of these fronts, our approach is really cautious, because we want to make sure that we don't cannibalize our current deposit base for, which we don't remunerate anything. And as you can see by the results, it's getting quite a lot of traction without that, right? So basically what we're doing right now is testing. We have a very small pilot in terms of remunerating deposits. We're also testing the waters in terms of retail funding. And that's pretty much the mode of the year. I wouldn't expect any big movements on the balance sheet in 2024. And the final question, can you remind me what was it?
Tiago Binsfeld: My final question was on the deposits. What's your strategy for remuneration or paying for deposits eventually?
Mateus Scherer: Well, I think we covered that. But basically the message here is the following. We have a very good business in our banking products, which is basically built upon the working capital needs of our clients. So, we offer a simple solution for them. And we're able to get this deposit base without remunerating. But we also see space to advance on banking on the remunerated side. So basically tackling the savings pocket of our clients. If you look back at the Investor Day, I think the approach that we shared was basically creating an automated savings product, which is basically using the same engine that we have in credit where we get a percentage of the TPV, but redirecting that feature towards clients that are savers. So we're basically able to help our clients to save towards their goals. And on that product, the idea is to remunerate the deposit base. But again, being really cautious here not to cannibalize the product that we have in place. So that's basically the strategy there.
Tiago Binsfeld: Clear. Thank you, Mateus.
Operator: Next question from Jamie Friedman with SIG.
Jamie Friedman: Hi, let me echo the congratulations. I wanted to ask about the take rate on key accounts. It was up 14 basis points year-on-year and 15 basis points sequentially. So I'm just and I understand that's part of the strategy. I'm wondering, though, how high can this go? Because it seems like you got a very good cadence there?
Lia Matos: Hi, Jamie. Lia here. So I think regarding take rates, transit key accounts. So the one basis point increase quarter-on-quarter is basically product mix, credit versus debit. And the 14 basis points increase year-over-year is really a consequence of our strategy in terms of repricing and offering spot free payments for some clients. So I think the overall message here is let's remember that key accounts for we see key accounts as sort of an opportunistic strategy. So, if we find a key account clients where we can have a good relationship in terms of pricing and good returns, or even a more broad sort of product discussion that enables us to have a more profitable relationship, we will do so. But that's not really the focus of our execution. So, we're a lot - we've been a lot more opportunistic there. It's hard to pinpoint what the trend will be. I think that the trend that we are seeing, is more or less kind of in line with what we expect, right. So take rates slightly positive from this effect of a higher emphasis on profitability and repricing. But on the TPV side, it tends to be volatile. So it's hard to pinpoint a trend. I think those are the takeaways.
Jamie Friedman: Thank you, Lia. And then in answer to a previous question, I think you had addressed the opportunity to lend into the Linx merchant base, which my understanding is - I don't believe you begun. And so, how and when are you thinking about that opportunity? If you could elaborate on that? Thank you.
Lia Matos: So we disclosed this metric that we.
Pedro Zinner: It's about lending on Linx, right?
Lia Matos: Is it lending on Linx was the question, Jamie?
Jamie Friedman: Oh, yes. I'm sorry if I didn't say it right. That's what I meant to say. Yes.
Lia Matos: Okay. Yes. So like Gregor mentioned, right, we we're just starting to look at the opportunity for credit in the Linx client base. So what we know is that it is a big opportunity and it's very in line with what Pedro said at the beginning of the call today to sort of implement a specific process for higher average TPV clients, because that is the profile of Linx clients overall. Even within those priority verticals, the average TPV of those clients tends to be somewhere around 200,000 to 500,000 a month. So these are medium clients within the SMB space. We know that there is a very significant opportunity there, and this will fall into the context of the whole the overall front selling initiative, right. So in order to provide lending to those clients. We want to do so in a context where we actually offer the full solution integrated software. So it's really very early days. We know the opportunity is big. We're starting to organize ourselves around that opportunity. But at this point, the focus on cross-selling is a lot more really the structural go-to-market initiatives that enable us to actually start to offer financial services solutions to software clients. So, yes, we are excited with the credit opportunity in Linx client base, but it's very early days to give any more precise figures on that.
Jamie Friedman: Perfect. Thank you, Lia.
Lia Matos: Thank you, Jamie.
Operator: Next question from Pedro Leduc with Itau BBA.
Pedro Leduc: Thank you, guys, for the question. Good evening. Two, first on the financial side that you're guys are looking at for the - I've had the new document recently out from what you have seen and the revenues or the funding side, early thoughts and maybe how you can manage around that. And the second from the early portfolio that you have on the credit side, if you've already seen benefits, be it on churn, be it on higher share of wallet, all those clients, is credit helping you? You believe it's just through credit, but is it bringing positive side effects on other things?
Lia Matos: Hi, Pedro. I'm not sure we understood the first part of your question. If you could please repeat it. You're chopping a little bit. Sorry. I think you're chopping a little bit for us. I don't know if you can go to a spot where there's a little better connection.
Pedro Leduc: I'll join the line back in. Sorry.
Lia Matos: Okay Pedro. Thank you.
Operator: Okay. While we wait for Pedro. Next question from Renato Meloni. Please, Renato.
Renato Meloni: Hi, everyone. Thanks for the space here for questions. My first question is on the asset quality of the credit portfolio. I know it's a bit early to look at NPLs, but I wonder what you're seeing the margin here. And if you can compare that to what we're seeing in the industry numbers. And then maybe if you have an expectation of where NPLs will stabilize and why. And then I have a second question here on your funding strategy. And if you - how do you see space to continue using your own cash generation as a funding source here? Or if you expect that to the mix to shift going forward? Thank you.
Mateus Scherer: Thank you, Renato. Let me start on the latter question. So basically, we fund credit nowadays using our capital structure, right? So we have a mix of equity and debt. I think we're not looking towards having a specific instrument for credit, like factoring out risk nowadays. Basically, because it's too expensive in Brazil. So if there is an option at an attractive rate, we will for sure consider. But given the structure that we have in Brazil, I think it's likely that the strategy for funding may continue the same. And then on asset quality, I think you're right that looking at NPLs alone, it's basically really affected by the speed of growth, right? I think what we can share from nowadays is basically two things. So first, in terms of expected losses, our models are pointing towards the 10% threshold. So when you think about NPLs over 90, it should increase, right? It shouldn't stay at 1.5% or 2% area. It should move towards this expected credit loss level and be slightly below that. So that's the first piece of the message. The second, I think, is looking at cohort data. So, I think in the Investor Day, we shared over [indiscernible] for the portfolio. And I think we disclosed at that time between 3% and 4% for the cohorts. And that pretty much remains the same nowadays. So I think the performance for the portfolio has remained really consistent over the past many months. And the final point I think you mentioned is around returns, so the margin for credit. I think we're not disclosing the margin itself. But what we can say in terms of rates, we usually charge, between 3% to 5% per month. We are on the lower end of that range nowadays, basically because we are choosing clients that have a better risk profile in general. And then, if you combine the 3% per month with the 10% expected credit losses, I think you should arrive at the margin for the product pretty easily. So that's the message there.
Renato Meloni: Very good. Thank you.
Operator: Next question from John Coffey with Barclays.
John Coffey: Hi. Thank you very much for taking my question. I just had two questions for you. For one, on your TPV, it looks like - it seems like your top line TPV number now includes picks. And so if that's the case and that's kind of your primary TPV metric, how should I think about your guidance, especially your MSMB TPV of that 412 floor? Is that just tying to the TPV without picks? And then likewise, when we think about the MSMB take rate, would that be considered with TPV, again, including picks or excluding? And just the last question I had, the second question, for the MSMB payment net ads, I think Lia said in her prepared remarks that we saw a little bit of a decline this quarter, because now Stone is reaching, I think, like market growth rates, if I understood that correctly, for MSMBs. Does that mean like we should that's a good cadence in that 200 range to think about net ads going forward? Or am I off on that? Thanks.
Lia Matos: Hi, John. Lia here. So I'm going to take both questions. First on TPV, I think it's important to note that we disclosed both, right? So both TPV considering PIX P2M and TPV only considering cards, right? So the reason why we're disclosing, we've always disclosed both, but PIX P2M has more and more incrementally become a relevant and important acceptance method for our clients. Let's also remember that we monetize PIX P2M in line with debit net MDRs, and we allow our clients to reconcile PIX P2M as a payment method. So I think this is just a little bit of context to start answering the question. So in fact, regarding the guidance of TPV, we are seeing TPV trends considering only card volume closely aligned with our guidance. But additionally, we're positively surprised with the strong performance that we're seeing in PIX P2M volume, where we're going strongly on a sequential basis. And like I said, it's net positive for us, because we monetize that in line with debit net MDRs. And it is very positive for our clients because for them, it is a cheaper solution in terms of payments acceptance, and money gets settled instantaneously. So just to give the numbers again, TPV including PIX grew 24%. While if we exclude PIX P2M, we saw 18% growth. And the 18% growth is very much in line with what our guidance for the year implies. So the message is we remain committed with the TPV guidance, and we're going to continue to disclose both figures, right? TPV with PIX P2M and TPV considering only cards. The second part of the question was net ads, right?
John Coffey: Yes.
Lia Matos: Yes, so you were right in that what we expect going forward in terms of net ads is more levels more or less in line, with what we saw this quarter. So since over the last year, we strongly increased our penetration in the Micro segments. It's not surprising that incremental growth is smaller. That said, we're really, happy with the commercial performance in the quarter. It is associated with our participation in BBB. I think we discussed this earlier in the fall. But importantly, regarding this investment in BBB that we made this quarter, we did see a very positive impact in the quarter. But we also expect a tail effect throughout the year. It's important for us to maintain the consistency of the communication so that we can really capture the value in terms of more brand recognition, stronger communication to a broader audience, right. So all of that for us is a positive trend, and we expect net ads to be in line with what we're seeing. And we're happy with that level. But also, as you remember, we don't have net ads as a single objective function, because it's important that we are always looking at healthy payback hurdles and that we can grow with good profitability. So I think that's the big message, John.
John Coffey: Great. Thank you.
Operator: There are no questions at this time. This concludes the question-and-answer session. I will now turn over to Pedro Zinner, CEO at StoneCo for final considerations.
Pedro Zinner: Well, thank you very much. I think before we end the call, I just wanted to provide an update in terms of the tragedy in Rio Grande do Sul. I think we are engaged and committed to the situation, supporting our clients, employees, and local communities with a series of programs and initiatives. Our commitment to Brazilian entrepreneurs is, above all, a commitment to people. And we have partnered with União Brasil, which is an NGO that has been on the front lines of the floods for months, to support those who need it most at this time. I think the other question is regarding the impact in terms of our TPV and guidance and so forth. So we've seen a significant impact in TPV within the region, with some cities reducing TPV by up to 40%. But that said, our exposure to Rio Grande do Sul is about 4% to 6% of our TPV. So the impact will be most likely limited, and should not impact our guidance. In terms of the P&L, there will be a negative impact in the second quarter, not only as a result of the TPV impact, but also because we are fully committed to supporting our clients and employees within the region. We have already accepted the subscription fees of our clients in the region, have reduced the payment fees, provided a grace period of 90 days in credit repayments, among many other actions. I think it's still too early to quantify the impact for the quarter, but the message here, is that we remain committed to the guidance despite those effects, and we are concerned about the tragedy that is actually happening in the country. With that said, I would like to thank you all for participating in the call, and see you in our next quarter results. Thank you very much.
Operator: Thank you. This does conclude today's presentation.